Operator: Good day, everyone, and welcome to the Genesco Fourth Quarter Fiscal Year 2012 Conference Call. Just a reminder, today's call is being recorded. Participants in the call expect to make forward-looking statements. They reflect the participant's expectations as of today, but actual results could differ. Genesco refers you to this morning's earnings release and to the company's SEC filings, including the third quarter fiscal year 2012 10-Q, for some of the factors that could cause differences from the expectations reflected in the forward-looking statements made during the call today. 
 At this time, for opening remarks and introductions, I'd like to turn the call over to Mr. Bob Dennis, Chairman, President and Chief Executive Officer. Please go ahead. 
Bob Dennis: Good morning, and thank you for being with us for our Fourth Quarter Earnings Call. With me today is Jim Gulmi, our Chief Financial Officer. As a reminder, Jim's detailed review of the quarterly financials has been posted to our website, along with the press release from earlier this morning. I'll begin this call with a few short remarks about the fourth quarter and an outline of the key reorganization we are in the midst of executing. And then, I will turn the call over to Jim for a review of the numbers. Finally, I'll return to provide some color on our operating segments before we open the call up for your questions.
 Our fourth quarter performance ended up being much better than we initially anticipated and represents a great way to end what was a very rewarding year for Genesco. Fourth quarter sales and earnings run ahead of plan for almost all of our businesses. What was really pleasing about the fourth quarter, and this was also true of the third quarter, was our ability to maintain our consolidated double-digit comp trend from the first half of the year in the face of much stronger comparisons in the back half. This speaks to the excellent job that our teams are doing to ensure our stores are merchandised well, taking advantage of several positive trends by being the dominant go-to retailer for many key brands and styles.
 The sales momentum from the fourth quarter has carried over into the first quarter with comps up 13% in February. While this is certainly an encouraging start to fiscal 2013, we aren't budgeting this level of growth for the full year. February has been a variable month in recent years with IRS refunds, the timing of Mardi Gras and weather all very much in play. So we are careful about reading too much into the trend. That said, based on current merchandise patterns and the strategic positions of our core retail businesses, we feel confident that we can continue to comp positively, despite the tougher comparisons that we created for ourselves over the next 4 quarters.
 Before I turn the call over to Jim, we want to talk you through our strategic restructuring that the Journeys management team is in the midst of executing, which integrates Underground Station into the Journeys business. As background, Underground has been a difficult business for Genesco ever since a relatively strong fiscal 2006 when it had revenues of roughly $164 million and an operating margin of 6.6%. The recession hit Underground Station's core demographic especially hard, and performance bottomed out in fiscal 2009 when it lost almost $6 million on sales of $111 million.
 We addressed the downturn by shutting underperforming stores, renegotiating rents, shortening average lease life and in select instances, converting stores to Journeys. Store count went from 223 in fiscal 2007 to 137 at our recent year end. 119 of the locations in the current store base were EBITDA positive on a 4-wall basis for the year. The businesses sales for the year were about $92 million, and operating income was just shy of breakeven. Several factors have shaped our thinking on how to proceed with Underground Station. 
 First, Underground Station was already highly integrated with Journeys operationally. Only the merchants and store supervision were independent functions, so the restructuring is less comprehensive than what occurred between 2 truly independent businesses. Second, over the past several years, fashion within Underground Station's demographic has gone much more mainstream in terms of styles and brands. Most of what used to be considered core urban looks and brands are much less relevant today. Consequently, Journeys and Underground Station have become more similarly merchandise than once was the case. 
 Third, there is pretty heavy real estate overlap between Journeys and Underground Station. About 100 Underground stores are in a mall with a Journeys. As such, we will seek to maintain a reasonable level of differentiation between the Journeys and Underground Station stores, with Underground continuing to target a customer that is a little older. We believe that there will continue to be enough of a difference in the 2 stores merchandise offerings to enable them to coexist in these malls. However, if we should see cannibalization in particular malls, we will be able to address the problem in most instances because the remaining lease life of the current Underground Station real estate portfolio averages only 2 years.
 At the end of Q4, we began executing a plan that essentially rolls the Underground Station stores into the Journeys organization. We will now operate the former Underground Station stores as a subset of Journeys under the brand Underground by Journeys. This is a similar set up to the other siblings within the Journeys Group, Journeys Kidz and Shi Buy Journeys. For the few stores and locations that do not overlap within existing Journeys, we will consider a complete conversion to the core Journeys brand. 
 The product and the new Underground by Journeys stores will much more resemble a traditional Journeys store, but with merchandising tweaks to reflect the mall and store demographics. And as I mentioned a moment ago, aiming for a somewhat older demographic. This is not unlike our Lids headwear chain, which under one retail banner, operates stores in a range of demographic environments that are then assorted to reflect the local mix of customer traffic. We will continue to close underperforming Underground by Journeys locations, of which there are still roughly 20 possibilities based on current rents and current store level performance. 
 So where are we now? The store supervision and the merchandising organization have been completely integrated as of February 1. Some Underground personnel have been rolled into the field and merchandising organizations to support the now larger Journeys revenue base. Other former Underground Station personnel have been assigned to several new and important initiatives within Journeys, most notably an expanded effort on journeys.com, a more dedicated focus on the merchandising of Journeys Canada and a greater focus on merchandising our largest Journeys stores. We will come back to those initiatives later in the call when we discuss the core Journeys business.
 There is more for us to do over the coming year including rebranding the storefronts, converting select locations to Journeys stores and adjusting the merchandise mix and the Underground by Journeys stores. The remerchandising should start to show up during Back-to-School and should be fully implemented by holiday. This is not really a cost-reduction play nor are we taking a charge. The integration of personnel is complete. We will likely go through some targeted clearance of Underground Station inventory, but that is reflected in our guidance.
 Finally, as of the current quarter, we will no longer report Underground Station as a separate line of business. We are excited by the prospects for the combined Journeys, Underground by Journeys business. We recognize the terrific job done by our Underground Station team over the past several years. They helped get Underground Station back to where it almost broke even this year and left it well positioned for this move. It requires great skill, patience and commitment to manage a business as challenged as Underground Station has been for the past 4 years, and our hats are off to the entire team for their accomplishments. Jim will now take you through the numbers and outline the specifics of our full year outlook. 
James Gulmi: Thank you, Bob. Much of the detailed financial information for the quarter has been posted online. So I will only be making a few comments. The fourth quarter came in better than our updated guidance from early January. Comp sales were 12% for the quarter and 13% for the full year. This compares with 9% comps in the fourth quarter last year and a 7% comp for the full year. This was led by a 14% comp increase for the Journeys Group, 13% comp increase for Lids group and an 8% comp increase for Johnston & Murphy in the fourth quarter. For the full year, all 3 of these business units achieved double-digit comp increases. 15% for the Journeys Group, 12% for the Lids group and 10% for Johnston & Murphy.
 February same-store sales increased 13%, and direct sales increased 4% on a comparable basis. Consolidated net sales for the quarter were $723 million, an increase of 29% over last year. This includes sales of $100 million from our Schuh [ph] U.K. acquisition in the second quarter of the year. Excluding Schuh [ph] U.K., sales increased 11% for the fourth quarter.
 We earned $1.97 per share in the quarter, adjusted as shown on the attachment to the press release, compared to last year's adjusted earnings per share of $1.33 or an increase of 48%. The adjusted tax rate this year came in lower than expected and represented approximately $0.13 per share of the EPS improvement.
 Gross margin for the quarter was 49.4% compared with last year's gross margin of 48.7%. This is 70 basis points -- this 70 basis point increase was better than expected. It was due to lower retail markdowns and favorable changes in sales mix in the quarter.
 Adjusting for all the items broken out in the press release, we were able to leverage expenses by 60 basis points in the quarter. Adjusted expenses as a percent of sales improved to 39.1% this year compared to 39.7% last year. This included increased bonus accruals driven by our stronger performance in the quarter, and additional contingent Schuh U.K. acquisition bonus accruals related to the better-than-expected performance in the fourth quarter.
 For the quarter, adjusted operating income increased to $74.5 million or 10.3% of sales compared with $51 million or 9.1% of sales last year. For the fiscal year, sales were $2.3 billion, an increase of 28% over fiscal 2011. Adjusting for acquisitions by excluding sales of businesses not owned for the entirety of fiscal years 2011 and 2012, Genesco's sales increased 13% for the year.
 For the year, on an adjusted basis, we earned $4.09 per share compared with $2.48 last year, an increase of 65%, including the tax rate improvement I mentioned earlier. For the full year, our adjusted operating margin as a percent of sales was 7% compared with 5.5% last year. This improvement in operating margin was driven by the leveraging of operating expenses primarily rent expense, selling salaries and depreciation, as margin was flat with the previous year. The strong P&L performance for the year was reflected in the balance sheet and cash flow as well. We ended the year with $54 million in cash compared with $56 million last year and $41 million in debt. This debt consisted of $5 million in U.S. borrowings and $36 million of U.K. debt assumed in connection with the Schuh U.K. acquisition. Due to our strong cash flow during the year, we were able to pay down $95 million of the debt incurred from the financing of this acquisition. We also paid about $28 million in cash for the acquisition, so it was good to end the year with cash essentially flat with last year.
 Free cash flow before acquisition expenditures for the year was $106 million. Inventories were up 21% year-over-year compared with the sales increase in the fourth quarter of 28%. We feel year-end inventory was a little low, particularly in Journeys due to the strength of our holiday business. But large product receipts in February have positioned us well for the spring season.
 Now I would like to spend a few minutes on our guidance for FY '13. On our last conference call, we gave an early indication of our forecast for the year. The preliminary EPS guidance was 12% to 15% increase over this past year. At that time, our updated guidance for fiscal 2012 was a range from $3.64 to $3.69, which we eventually increased early January to $3.74 to $3.79. As we reported today, our EPS was stronger than anticipated at $4.09 per share. Even with this improved performance, we remain comfortable with the 12% to 15% increase year-over-year in the previous guidance, and our updated FY '13 EPS guidance is, therefore, $4.58 to $4.70.
 Consistent with previous years, this guidance does not include about $1.4 million to $2.5 million pretax or $0.04 to $0.06 per share after tax in expected noncash impairments. This amount compares with last year's noncash impairments, other legal matters and network intrusion expenses of $2.7 million pretax or about $0.07 per share after tax. In addition, we will continue to exclude the amortization of the Schuh U.K. acquisition deferred purchase price in our EPS guidance. This amount, FY '13 is expected to be approximately $12 million or $0.49 per share.
 The following are assumptions we used to develop this guidance. A comp increase of about 2% to 3%. This is pretty consistent for all 4 quarters although based on February comps, the first quarter may be closer to mid-single digits. Please remember our comps were steady last year at 14% into the first 2 quarters and 12% for each of the back 2 quarters. As Bob mentioned, we are off to a good start with February comps up 13%, but we are obviously not banking on sustaining that level for the first quarter or the full year. 
 We're also assuming an overall sales increase of about 11% to 12% for the year. Adjusting for acquisitions by excluding sales of businesses not owned for the entirety of fiscal years 2012 and 2013, Genesco sales are expected to increase about 7%, 8% for the year. Our guidance assumes a gross margin decrease of about 30 basis points and a positive expense leverage of about 60 basis points. This results in an operating income improvement of about 30 basis points to 7.3%. The tax rate assumption is about 37%, and the share count assumption for the full year is about 24.3 million shares.
 We're also expecting capital expenditures for the year of about $86 million, and depreciation will be about $58 million. We are forecasting 100 new stores and are planning to close about 41 stores. We expect to end the new year with approximately 2,446 stores, an increase of about 2% over the year that just ended. We're also forecasting square footage growth of about 4% in the new year.
 I want to take a moment to address 2 particular matters from the perspective of the new annual guidance, since the way we are thinking about them may not be obvious to investors. First, the U.K. acquisition. As Bob mentioned already, the performance of Schuh U.K. exceeded our expectations last year. The timing of this acquisition at midyear was advantageous for us as Schuh U.K. earns about 85% with operating income in the last 7 months of the year. 
 The first 5 months are far less profitable for Schuh U.K., and this is especially true in the first quarter. In addition, in FY '13, we will expense a full 12 months of the Schuh U.K. contingent acquisition bonus accrual, compared to only 7 months in FY '12. Due to the timing of this acquisition FY '12, which gave us almost 85% of a full year of operating income on 1/2 year of sales combined with a full 12 months of the increased contingent bonus accrual in FY '13, our guidance does not reflect any pickup in year-over-year operating income for Schuh U.K. in FY '13. This contingent bonus could also increase during the year if Schuh U.K. continues to exceed our expectations. 
 Bob also spoke about the integration of the Underground Station stores into the Journeys Group. While we are very excited by the prospects for the combined business, our guidance does not reflect any upside from the combination of this fiscal year. Due to the lead times involved in placing orders and receiving deliveries, we do not anticipate completing the remerchandising of the stores until the holiday selling season. In the meantime, we will be selling off current inventory to make room for the new product, and this will have some impact on Underground by Journeys gross margin, especially in the first half.
 For these reasons, we do not expect to see a meaningful benefit this fiscal year from the integration of Underground Station and Journeys. Again, this analysis of both the full year of Schuh U.K. and the effects of Underground consolidation is reflected in our updated guidance. 
 One last point on modeling our performance for FY '13. I've made the point in the past few years that we earn about 75% to 80% of our operating income at back half of the year. The opportunity for earnings improvement is normally in the back half of the year when we have meaningful sales gains. In looking at the EPS consensus numbers for FY '13, it appears to me that the seasonality of the Schuh U.K. business is not properly reflected. As I've said before, the first quarter is normally weaker for Schuh U.K. than for Journeys. While on the second quarter, the reverse is true. In addition, Schuh U.K. will be impacted by 3 full months of the contingent bonus accrual in the first quarter, which will further impact the performance. 
 Also, for the reasons I mentioned, any possible upside from Underground Station's integration, if we were to see it all this year, will not kick in at the back half of the year. So the first half should not reflect any meaningful benefit from the integration. So the annual earnings will once again be heavily weighted towards the second half. Now I'll turn the call back to Bob. 
Bob Dennis: Thanks, Jim. Let's now talk about Journeys where not a lot has changed over the past few quarters in terms of what's been driving the group's results. Current fashion trends continue to benefit the business. With another strong merchandise selection for spring, we feel good about the group's ability to capture additional market share. And like last year, carry the momentum into Back-to-School and the holidays. Similarly, these same merchandise trends resonated with the Shi by Journeys and Journeys Kidz customers in fiscal 2012, and should continue to fuel improved results for both concepts again this year. 
 Let me highlight 3 important initiatives within Journeys for the coming year. First, we've been very pleased with the performance of our Journeys stores in Canada, which at year end totaled 13. To take advantage of our current momentum and fill the void we believe exists in this market, we plan to open another 12 Canadian Journeys stores this year. In addition to unit expansion, we believe there is also an opportunity to increase Canadian store productivity, which is one of the new initiatives that the Journeys team has redeployed talent to support. While there are many similarities between the U.S. and Canada, we have identified enough of a difference between the 2 markets that we believe we can capture upside by making specific adjustments to the Canadian merchandise offering.
 The second initiative involves leveraging the recent strength of the Journeys e-commerce business to introduce a broader merchandise selection, and continue to drive growth. Specifically, we will explore how to expand our assortment with our core vendors for product offered only on our e-commerce site and in our very largest brick-and-mortar footprints. Of course, given that e-commerce is integrated with all of our stores, the store associates will be able to sell off the site to their in-store traffic, increasing consumer choice across the whole chain. Along with this inventory commitment, we will invest additional funds for driving traffic to journeys.com. 
 Finally, the Journeys team is also exploring ways to improve the contribution of the larger Journeys stores opened or expanded over the past few years. These stores, which number 191, are greater than 2,400 square feet. They are performing okay on a 4-wall basis, but we have the opportunity of taking better advantage of the additional space to introduce new product offerings that should generate even higher productivity in these stores. And as I mentioned earlier, some of the additional assortments made available on e-commerce might also be appropriate for these stores.
 Turning to Schuh, we are very pleased with the acquisition. The business continues to perform above our expectations, despite a challenging retail environment in the U.K. and the Republic of Ireland. We continue to find ways to help the Schuh merchants by drawing on the strength of Journeys relationships with the major vendors. At year end, there were 64 standalone Schuh stores and 14 concessions. We continue to be bullish about future new store potential. And our plans in fiscal 2013 include opening between 8 and 11 locations.
 Lids Sports Group delivered a very strong fourth quarter performance. We believe the current trend that's driving the Hat business are sustainable for now, and we remain very excited about the growth opportunities we believe exists for the Locker Room and Clubhouse concepts. We expect the transition of the upcoming NFL apparel and headwear licenses to Nike and New Era, will create long-term opportunities for us. However, the real big opportunity lies in leveraging the Lids Sports Group's merchandising capabilities to drive higher productivity and better efficiency in the Locker Room and Clubhouse stores we have required and additional stores we might acquire or open as we consolidate the category. 
 As examples, many of these businesses operated without warehouses. And as a result, are often poorly assorted later in the season. Our buying power is becoming evident as we negotiate a consolidation of the vendor base. And most of the Locker Room formats that we acquired had no web presence. So our operating platform provides immediate growth opportunities in addition to meaningful economies of scale.
 Another exciting growth vehicle within the sports group is lids.com. The Lids merchandising team has made fantastic progress evolving the site beyond its original platform selling just Hats. We think we are just starting to unlock the full potential of this distribution channel for our sports business, and the Lids team sees a number of opportunities ahead, including taking advantage of their inventory position to further diversify the merchandise selection available at lids.com, and to add more team specific Clubhouse sites. In fiscal 2012, the total e-commerce business increased 17% driven by lids.com growth and the addition of Clubhouse websites.
 With regard to Lids Team Sports, we are making headway integrating the 3 businesses we acquired over the last several years. There are still some operational improvements to be made here, but Lids Team Sports is gaining market share. And we believe we have a sound strategy in place to further build our leadership position in this large but highly fragmented marketplace.
 Now to Johnston & Murphy, which had a strong year in fiscal 2012 as it continue to build its position as a compelling lifestyle brand. This sustained improvement in the fourth quarter and full year was driven by Johnston & Murphy's growing assortment of casual footwear, women's footwear and non-footwear collections led by apparel and personal leather goods. We also experience a nice pick up in dress shoe sales driven by both fashion trends and an improving economy. That said, we view the casual and non-footwear opportunity, along with women's, as the real growth drivers going forward in the U.S. 
 Internationally, we opened our first store in Canada and are planning to open 3 more this year. Our partner in Mexico opened the first Johnston & Murphy store in Mexico City, with plans for a second. And we recently signed distribution agreements for India and Japan, while continuing to seek other opportunities globally.
 Finally, Licensed Brands struggled somewhat from a top line perspective in 2012. However, the business continued to contribute nicely to our bottom line, thanks to healthy operating margins. 
 To close, we are very pleased with our overall performance in fiscal 2012, which puts us well on track to achieve our 5-year plan of $3.1 billion in sales and a 9% adjusted operating margin by fiscal 2016. Congratulations, and thanks to everyone at Genesco. The teams at each of our operating divisions has done an outstanding job of driving a very successful year and positioning us for exciting growth in the years to come. And operator, we are now ready for questions. 
Operator: [Operator Instructions] We'll take our first question from Jeff Klinefelter with Piper Jaffray. 
Jeffrey Klinefelter: Couple of questions. One, maybe just to kick off on the Q1 comp. I mean, no doubt questions about the guidance and your anticipation for more of a mid-single digit comp in Q1. Can you just give a little bit more context around that? Is that purely just conservative guidance or is there something in the flow of the quarter from last year that would suggest it decelerates from double digits? The second part of that comp question would be, if you could remind us, Jim, on kind of the leverage point at this time on occupancy given your lease restructuring you've done in the last couple of years? 
Bob Dennis: Jeff, we're -- February, as you know, everybody reported pretty good numbers yesterday. Those that come out monthly, a lot of reasons for driving that. The tax thing is very fuzzy, it's kind of hard to get your arms around what the release schedule is from the IRS. We went back and looked at a 2-year comp by month. And if you do 2-year comps for all of Genesco, February is tied with one other month for the easiest 2-year comp we've got. So that's the other thing that gives us caution. And so when we roll forward, we think the comps, just the math of it gets a little more challenging. We're very confident about the assortment. We like the trend we're on. We just don't think '13 is something we're going to be able to keep up. We'll see. Jim? 
James Gulmi: And Jeff, on the leverage point and the lease issue in general, we believe that our leverage point, as you know there are many variables on this. But our leverage point is around 2%. And we, last year, had in effect, touch leases whether it would be a new leases, renewals or whether they were kick out clause of about 270 of our leases. This year, we have more leases that are up for renewal, and it's about a 335, plus another potential 139 kick out opportunities. So we've got a lot of opportunities in front of us to renegotiate leases. And we feel very good about our running expense and ability to continue to leverage there. 
Jeffrey Klinefelter: Okay. And I believe that 2% has come down over the last couple of years, correct? 
James Gulmi: Yes. It's come down considerably. It used to be, let's say, around 4% at least. And with everything that's going on in the world, and really, that's more of a total leverage number. And we really made a lot of progress in rent as a result of our ability to renew leases. Depreciation, we have not been spending as much on the capital expenditures. And also, we've made a lot of progress in selling expenses. We've really done a good job in working with our stores, and we're seeing a lot of leverage in selling expenses also. 
Jeffrey Klinefelter: Okay. That's terrific. One other follow-up there on the comp-to-comp guidance for the year. At this point, is there any change anticipated in the mix of the pricing ASPs versus transactions? And then just on the NFL license, do you anticipate based on historic transitions of licensing in this category that you could see pretty significant acceleration to industry growth? Bob, it seems to us, looking back at the last time in this transition, there was very meaningful acceleration and growth overall in the category. I'm just wondering if any of that is considered in the guidance? 
Bob Dennis: Yes. I'll do the ASP first. Jeff, we expect ASPs to be up considerably especially in the first half as we rolled through all the price increases that we're taken. And so -- as you know, we don't budget on that basis. We budget to $1 amount. And so we don't really sit back and try to figure out how much we're going to get from ASPs. So that's something we'll see as we roll forward, but we do expect that will be part of the equation. And therefore, we're obviously budgeting units to be less aggressive based on the ASP increase. On the NFL, we're very excited about the transition. Look, Reebok did a very nice job. They were great partners, but change for the sports fan is always a pretty good thing. And in the headwear category, with New Era involved, a, they do headwear very well and b, the brand means a lot. It's the most meaningful brand in the headwear category. And so that will, we think, be a big positive. And we're hopeful that we can take the NFL with our partnership with New Era to be more than just a seasonal event for the end of season product. As you know, we do baseball business 12 months and we'd love to see working with New Era, if we can stretch out the NFL. And then with Nike on jerseys, fresh and new is always good. It gives the fan a reason to renew what they've got in their closet. It's fairly natural when someone like Reebok is looking at the end of their contract that they're going to invest a little less. No criticism to Reebok, it's just a natural behavior. And so we're expecting a lot of newness on a relative basis to show up in the next year or 2 from Nike. So we're very excited by what that means. Now that said, we haven't gotten crazy with the comps. So the guidance is based on sort of more of a normalized comp. And as the NFL really does make a big splash, that's probably a source of upside. 
Operator: We'll take our next question from Sam Poser with Sterne Agee. 
Unknown Analyst: It's Ben Shamshian [ph] for Sam Poser. Just had a question on the 53rd week, does your guidance include that? 
James Gulmi: Yes, we did. And our estimate of the impact of the third week is in the range of around $0.03 or $0.04. And that's included in the numbers. 
Unknown Analyst: Okay. And was that from a revenue standpoint? 
James Gulmi: Excuse me, that's an earnings standpoint. 
Unknown Analyst: From a revenue standpoint? 
James Gulmi: What do you mean -- we expected from an EPS standpoint to affect it $0.03 to $0.04. And yes, there's additional revenue, but there's also additional fixed cost in that additional week. So the impact we believe as a result of all those factors is about $0.03 to $0.04. 
Operator: We'll take our next question from Robin Murchison with SunTrust. 
Robin Murchison: Three questions here. One, I just wanted to get a little clarity on the Lids e-comm down 3%, anything behind that? Secondly, I wanted to get you to discuss product cost in the new year particularly leather, obviously in light of Dockers commentary as well. And then lastly, Jim, if you could just give us a little more color on where you are with the leases? I mean, you've got 335 stores up for renewal this year from 270 last year. Are you seeing the same kind of -- what kind of allowances are you getting directionally, how that looks, thanks? 
Bob Dennis: Well, our product cost, the bigger driver right now for us is not as much leather cost as it is the labor and factory availability in China for our businesses. And again, most of what we do, Robin, as you know, is we're a branded business. So putting aside Johnston & Murphy and Dockers for the moment, we take the price increase from our suppliers. And we pass it on with usually a target margin that is the same as it was previously. So we don't have a lot of exposure there. And in Johnston & Murphy and Dockers, obviously, there in the situation where they're trying to time some price increases that marry to price increases all the way through the channel. So they're actually on the other side of that process. So we're going to be -- we'll see what happens as the year goes on. Obviously, the pressure, upward pressure on prices is there. On leases, we do have a good year for addressing a lot of leases. And other than the a malls, which do have -- are playing with a pretty good hand, we think we have pretty good leverage. And so we expect a continuation of the success we've had in the past at a minimum moderating rent increases. And certainly, down at the very bottom end of the mall universe continuing to capture some improvement. 
Robin Murchison: Okay. And Lids e-commerce? 
Bob Dennis: Lids e-commerce, I'd have to go back and look at it. It's a short month. And remember, we report e-commerce based on shipments, not on bookings. I'd have to go back and look at one month. I wouldn't make a lot out of it. 
Operator: [Operator Instructions] We'll go next to Steve Marotta with CL King & Associates. 
Steven Marotta: You mentioned, Jim, that there is no expected benefit from Underground Station and Journeys integration in fiscal '13. What would you expect the aggregate benefit would be in either '14 or just in general from an ongoing basis? 
James Gulmi: Steve, I'll start on that one. We'll see. I mean, there are a lot of wild card factors in how this will involve. How well the assortment resonates within Underground, whether we're exposed to any level of cannibalization with the Journeys stores that are in a lot of those. So we're optimistic, but we're not really going to go much further than saying it's in our guidance for this year. And beyond that, we'll see what happens. We're hoping for upside. I don't want to quantify it. Jim, any... 
James Gulmi: Exactly what I would have said. 
Steven Marotta: Okay. Bob, a question for you. We spoke in the past regarding Lids comps not only benefiting from a strong fashion cycle, but also a bit from a decreasing supply in other options for potential buyers. Can you talk a little bit about how you see that currently playing out, as well for the balance of the year? 
Bob Dennis: Well, the fashion cycle has obviously been a big friend of ours. And we all know that snapbacks are an important piece of that. We don't know how long snapback plays out. We're still doing extremely well in the category. Just a couple of notes on that. One, our exposure to it is not that high in the sense that as a non-fitted hat and as a very hot product, it actually represents a much smaller percent of our inventory than it does of our sales. And so in terms of having to manage inventory as a very hot trend winds down, we think that's going to be much easier than in other cycles. And the other thing about snapbacks is as it became important, we looked at what the kids weren't buying as they went into snapbacks. And it was heavily fitted New Era product from a variety of major league sports, mostly baseball and then also from action sports. And so those are categories that we're still in. So one scenario is if, when that trend eventually winds down, and it will, that the kids will go back to that or they go to the next big thing, which we don't know about right now, but we will be in that business as well. So that sort of comments about the fashion cycle. In terms of the consolidation in retail, it's very hard to measure. Our statements on that in the past have been based on our sales gains versus the increases that are being sort of bandied around by our vendors. And we know from those 2 numbers that we were gaining share. I don't know if that keeps going on, although the one thing that we're very certain of is that, in the locker room category, we are still going to be the aggressor in terms of trying to gain share there, both by opening stores and making further acquisitions. So we're now a driver of the consolidation of the industry, which we think is actually a very compelling story. So we're excited by that. 
Steven Marotta: That's good. Last, housekeeping wise. For the first quarter, can you talk about the split in sales between February, March and April as a percent of the total quarter? 
James Gulmi: Yes. It's about -- April is the biggest month and it's -- and March is the lowest. So let's say roughly 33% in February drops down to 30% or so in March, and it's back up 35% to 40% in April. 
Operator: We'll take our next question from Scott Krasik from BB&T Capital Markets. 
Scott Krasik: Just a couple of questions. Bob, to clarify your comment about the ASP trend, the 6.7% increase in the fourth quarter, was that more related to pricing then rather than mix? 
Bob Dennis: There is a lot going in the 6.7%. There is mix. I think it's mostly driven by the actual opening price. That's sort of -- we've said in the past that what the vendors have been passing through to us on a year-over-year basis have been ranging from mid-single digit to low-double digit. So with that as your benchmark on item pricing, then you can sort of back in. And you can see that most of it, therefore, is from initial price and then the balance would be mix. 
Scott Krasik: As we anniversary that, now that your guidance have some visibility into what they're buying for fall, will mix continue to be a benefit for the back half of the year? 
Bob Dennis: Don't know yet. 
Scott Krasik: Okay. And then to the extent that you do comp a little bit better than your low-single digit expectation in the guidance, is there any additional investments necessary or should that really flow in better operating leverage? 
Bob Dennis: No. That will flow through leverage. And just the point on investment, most of our buyers -- again, this is the benefit of being our size is if our financial budget is low singles, our buy plans will probably drift higher than that. Knowing that if it stays singles, that we have months to exit the inventory by working with our vendors and pushing out deliveries. And so we will be funding for a better performance than that and then we'll just keep watching it and react as needed. 
Scott Krasik: And then in the back half for the year, if Nike does raise prices significantly on its NFL product the way it’s being projected, I'm not sure what New Era is doing, but could that actually bolster your margins during those seasons to better than they've ever been given all the other stuff? 
Bob Dennis: Bolster gross margins? 
Scott Krasik: Well, operating year more leverage, I guess, I would say. 
Bob Dennis: Yes. I mean, if we sell the same number of units at a higher price point, that all flows through. Because it doesn't take us anymore operating expense to sell a jersey. That's sort of a fixed expense for us. 
Scott Krasik: And that's not considered in the guidance? 
Bob Dennis: All of this is in the guidance. 
Operator: We'll take our next question from Mitch Kummetz with Robert W. Baird. 
Mitch Kummetz: I've got, I think, 4 questions. Let me start on the store plan for 2013. I think you guys said you're going to open 100 and close 41. Could you break that out by concept? And then as far as the stores, the Underground stores, that don't overlap with Journeys from a real estate standpoint, I mean, how many of those are you looking to transition this year? 
Bob Dennis: I'll do it while Jim gets his numbers out. On Underground, we don't have a fixed number on the plan. And the reason for that is, it's dependent in a lot of cases on a discussion with the landlord. Conversion, obviously, takes a greater level of investment. And if we're going to do that, we're going to need a lease that marries up to that better than what a lot of the leases currently have. So we'll see. 
Mitch Kummetz: And just on that, Bob, in terms of the boxes at Underground, I mean, are those boxes about the size that you would like to see in terms of transitioning to a Journey store. 
Bob Dennis: For the malls in which the Underground stores exist, the sizing is about where we'd want them to be, yes. 
James Gulmi: And Mitch, on the new stores, in the document that we filed earlier this morning, which is a longer version of my very brief comments, we break out the new stores by individual business units. But I'll give you the group right now. For total Journeys, it's 37 stores. And for Johnston & Murphy, it's 13. And for Schuh U.K., it's 8. And for Lids, it's 42. 
Mitch Kummetz: And do you have the ones that you're closing in that document that you're referring to, Jim? 
James Gulmi: Yes. We've got 38 are in Journeys, the Journeys Group. No Schuh. Three units are in Johnston & Murphy. And right now, we don't have any in the Lids group. 
Mitch Kummetz: Okay. And do you have any in the Underground piece of that or does that gets rolled into the Journeys? 
James Gulmi: That's all in the Journeys number. 
Mitch Kummetz: Do you know how many are actually Underground within that? 
James Gulmi: We're just going to start, we're not -- we're just talking about the total group now. There's a good number in there, but we're not going into the details about how much because it's still up in the air. 
Mitch Kummetz: I got you. And then in terms of the comp outlook, you provided 2% to 3% comp, maybe mid-singles on the first quarter. How do you see that breaking out by concept on the year? 
James Gulmi: By concept? 
Mitch Kummetz: Yes. 
James Gulmi: It's really not that much different among the various concepts. In the case of Lids, it's probably on the higher end of that range. In the J&M group, the same thing. And then for Journeys, we're kind of in the lower end of that range. And it's pretty stationary for all 4 quarters. 
Mitch Kummetz: Got it. Let's see, on your -- Jim, you made some sort of cautionary comments on the first quarter. Could you just talk to me about the earnings or the margin impact that you see Schuh having on the first quarter from the bonus accruals? And then just the weaker profitability in kind of the first half of the year versus the back half? 
James Gulmi: Yes. I tried to make that point in my prepared comments. But the issue is, and when we acquired I made this point and I'm going to make it again, in that -- the seasonality of the Schuh business, Schuh U.K. business and Journeys is very similar, except in the first half of the year. Journeys does better in the first quarter than Schuh does. And Schuh does worse, obviously, in the first quarter and does better in the second quarter. And so Schuh from a seasonal standpoint, is challenged in the first quarter, but that's magnified because of the contingent bonus accrual the we've got built in. So it's not going to contribute very much at all in the first quarter. And it's a combination of higher expenses from a fixed cost standpoint and the gross margin is not as strong as it is in the back half. 
Mitch Kummetz: Okay. So you're basically just saying that there's no earnings contribution from Schuh in Q1 essentially? 
James Gulmi: I wouldn't comment that much. 
Mitch Kummetz: Last thing. On the Lids Team Sports business, Bob, is there any way you could give us a sense as to how big that business was last year and sort of what was sort of growth expectations you're planning for that, the tickets baked into your guidance for 2013? 
Bob Dennis: Yes. It was ballpark $100 million business last year. We're not driving the growth on it aggressively yet. We've said before, we're looking to reinvent how that business is done. A big component of that is systems [ph] development, which takes time. The other part of it was centralizing a lot of the capabilities that existed amongst the acquisitions. And that's taken a lot of work and time. And so we're somewhere around halfway through what we need to get done. And we're not going be really aggressively -- we are hiring some new reps, but we're not really sort of the way you would think about a retail chain and you've got it right and you're rolling it. We're not rolling it at this point until we get it. And that doesn't disturb us because it's tracking exactly the way, in terms of this reinvention of the business process, is tracking just the way we want it to go. And the reaction we're getting from the customer base is in total agreement with what we're doing. And so it's giving us a lot of confidence in the longer-term outlook. 
Operator: We'll take our next question from Jill Caruthers with Johnson Rice. 
Jill Caruthers: If you could talk about following holiday 2012 after you fully integrated all the merchandise at the Underground by Journeys stores. How much of that merchandise would overlap? I'm trying to gain how similar those stores would look. 
Bob Dennis: Well, we don't know yet. We're obviously buying for a much greater amount of overlap than we've had in the past. But there's going to be a little bit of figuring out as we go what the appropriate mix is within Underground. And so there'll be some testing. And in reaction to those tests will both be how well it does in Underground and whether it is drawing away from Journeys. So the initial set up that we're targeting to get going on this will have a lot of overlap, and then we'll start to distinguish which part of that makes a lot of sense. So beyond that, as we always do with forward trends on merchandise, we don't want to say a whole lot for competitive reasons. So think I'll leave it at that. 
Jill Caruthers: Okay. And then just talk about -- you did say that you have to evaluate the cannibalization of operating the 2 concepts in the same mall. Could you maybe talk about your options if you do, if that does occur as a big problem? 
Bob Dennis: Well, we have a bunch of options. One is to adjust the merchandise with Underground to be more differentiated from Journeys, if that were the case. Our real goal is to create a presentation in Underground that just visually distinguishes the store from Journeys. Journeys being very teen oriented. And if you walk our Journeys stores, you'll know that it is a teenage store. And so our thesis is that there's an opportunity to get people in their 20s, who we know are buying the same assortment, but the store may not be right for them. And so that's what we're leaning towards. Our last option on those is the team at Underground did a fantastic job of shortening lease life. So in most of those instances, if we're really disappointed with what's going on by having 2 stores in the mall, we would have the option to go back to one. 
Jill Caruthers: Okay. I appreciate it. And then just last question, kind of a bookkeeping one. Given your strong outperformance in 2011, I know the bonus has gone up, kind of what are you modeling for 2012 bonus. And should we look for kind of a lower number year-over-year? Should that be a benefit based on your current guidance right now? 
James Gulmi: Yes, it is built -- Yes, we are anticipating a lower bonus. And as a result, it helps us from a leverage standpoint, okay. So it is part of the leverage factor. 
Operator: We'll take our next question from Mark Montagna with Avondale Partners. 
Mark Montagna: A few questions. First, just dealing with Lids Teams Sports and Clubhouse, Locker Room. I'm wondering for the past fiscal year, if you can just help us understand what the revenues were and what are your objectives for the new fiscal year for those 2 areas? 
Bob Dennis: Well, we just talked about Team Sports, so it was about 100, and we're not aggressively growing that. Locker Room, we are going to be, and clubhouse, we're going be more aggressive in both of those. We have some businesses that we only had for partial year, that will be a full year. Jim, do you want to give anymore color that? 
James Gulmi: It's about the same range, about $100 million in sales. 
Mark Montagna: Okay. So when you say more aggressive for Clubhouse, Locker Room is that more through acquisitions or through organic growth? 
Bob Dennis: Well, growth. What we don't want to do on acquisitions, we don't commit on a forward basis to acquisitions. We always think that's a fool's game because then you feel committed to do it. So where we want to add stores, we've got new stores that we're going to open on our own on the books. And we have -- we're seeing lots of deal flows so there's possibilities for us to make acquisitions. But we'll only do them when the economics really make sense for us. 
James Gulmi: And in the new store growth that we talked about earlier, and it's posted of the Lids 42, about 12 of those are related to opening new Lids Locker Room stores. 
Mark Montagna: Do you see those openings more off the mall or are you looking at those as more mall-type stores? 
Bob Dennis: Right now, we're looking at mall. But off the mall is a very interesting premise for these because they are more of a destination store. And as such, the possibility, probably more so than most of our concepts for being off mall is an intriguing one. 
Mark Montagna: Okay. And then in Team Sports, it sound like you're more focused on getting the organization, the operations correct before really aggressively trying to grow that. 
Bob Dennis: Exactly right. 
Mark Montagna: Okay. And just the next question, I only have 2 more. Next question, just in terms of Genesco, one of the push backs I get is, hey, this is just a boots store and when boots die, this is over. I mean, I disagree with that. But I'm just curious how do you respond to a question like that? 
Bob Dennis: Look, we're the go to -- first of all, half our businesses is, we have a sports business, we have Johnston & Murphy, which is not that boot related. So you're only talking about half of our business. Within that half of that business, we are the go-to store for the teenager. And when they're in boots, we're going to be in the boot business. And when they're not buying boots, they're buying a lot of other stuff. And so we don't feel, from our perspective, that exposed to what they're claiming to be an outlier situation for us. I don't know what else to tell you. 
James Gulmi: And boot, really, is not a 4-quarter business. It's a fourth quarter business. So I don't understand that at all that position by anybody. 
Mark Montagna: Okay. All right. Yes, I just wanted to hear how you guys would articulate it. Then just the last quick question is, with this whole Jeremy Lin phenomenon, I'm wondering if that has impacted the Lids business enough to actually be a meaningful difference in sales that you actually noticed or is it still perhaps just a rounding error. 
Bob Dennis: It's a rounding error. It's an exciting rounding error. But you just can't get your hands on enough product to move -- if we had an unlimited access to product, it might be able to move the needle during this time. But you just can't get enough product. 
Mark Montagna: Is it because a lack of Knicks product or is it targeted just to this one guy? 
Bob Dennis: The kid came out of nowhere. So it takes a while to generate the amount of units that you need to move the needle. And so it's fun to watch and our New York stores have had a lot of fun with it. But that doesn't really move the needle. Lids Sports is a very big business. 
James Gulmi: Mark, one thing on the Locker Room it really -- Locker Room and Clubhouse is 17 stores, I said 12. So I just want to correct that. 
Operator: We'll take our final question as a follow-up from Robin Murchison with SunTrust. 
Robin Murchison: Jim, is there some -- does the Dockers license expire last year? And if so, what's going on with that? 
Bob Dennis: It does expire this year, yes, FY '13. And so we're in our discussions with licenses. You periodically go through the discussion. We're in the discussion. 
James Gulmi: We'll make a point we've had that license since the early '90s. So it's a pretty long-term relationship. 
Operator: And at this time, I'd like to turn the call back over to Mr. Dennis for any additional or closing remarks. 
Bob Dennis: Thank you, everybody, for joining us. And we look forward to talking to you again, either on the road or in 3 months. 
Operator: This concludes today's conference. We appreciate your participation.